Operator: Good day, ladies and gentlemen. Thank you for standing by and welcome to Alibaba Group's September Quarter 2015 Results Conference Call. [Operator Instructions] I would now like to turn the call over to Jane Penner, Head of Investor Relations of Alibaba Group. Please go ahead.
Jane Penner: Good day, everyone, and welcome to Alibaba Group's September quarter 2015 earnings conference call. With us are Joe Tsai, Executive Vice Chairman; Daniel Zhang, Chief Executive Officer; Maggie Wu, Chief Financial Officer. Also, as you know, we distribute our earnings release through Alibaba Group's Investor Relations website located at www.alibabagroup.com. So please refer to our IR website for our earnings releases as well as the supplementary slides that accompany the call. You can also visit our corporate website for the latest company news and updates. Please check it out. This call is also being webcast from our IR section of the corporate website. A replay of the call will be available on our website later today. Now, let me quickly cover the Safe Harbor. Today's discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements involve inherent risks and uncertainties that may cause actual results to differ materially from our current expectations. Factors that could cause actual results to differ materially are set forth in today's press release. To also understand these risks and uncertainties, please refer to our latest Annual Report on Form 20-F and other documents filed with the U.S. Securities and Exchange Commission. Any forward-looking statements that we make on this call are based on assumptions as of today, and we do not undertake any obligation to update these statements, except as required under applicable law. Please note that certain financial measures that we use on this call, such as non-GAAP EBITDA, including non-GAAP EBITDA margin and non-GAAP net income are expressed on a non-GAAP basis. We have also adjusted our net cash provided by operating activities to remove purchases of property and equipment and intangible assets, excluding acquisition of land use rights and construction in progress, and adjust for changes in loan receivables relating to microloans of our SME loan business, which we refer to as free cash flow. Our GAAP results and reconciliations of GAAP to non-GAAP measures can be found in our earnings press release. With that, I will now turn the call over to Daniel.
Daniel Zhang: Thank you, Jane. Good evening or good morning, depending on where you are. Thank you all for joining us today. We had a great quarter with strong growth across our core operating metrics. Our ecosystem continues to thrive. GMV grew 28% year-on-year. This increase was driven by a robust annual active buyers, and the mobile monthly active user growth. User engagement is very healthy with more buyers purchasing across all categories. We are winning in mobile. Mobile users are highly engaged and drives online marketing spend by our merchants. In the September quarter, both mobile GMV and mobile revenue in the China retail business exceeded 68%. As a result, we saw robust revenue growth during the quarter. Overall, year-on-year revenue growth was 32% and specifically revenues from our China retail marketplaces grew 35%. We are fortifying our market leadership in the major cities. In addition to Beijing and Shanghai, we added Chengdu, Guangzhou, Hangzhou, Suzhou and Wuhan for same-day delivery of groceries. We continue to develop commerce in the lower-tier cities and rural areas. In the September quarter, we increased our presence in over 4,000 additional rural villages, where we provide purchasing and delivery services. At the same time, we remain committed to providing a trusted consumer experience with authentic products by driving merchants that peddle counterfeit products off our marketplaces. This commitment for the best consumer experience has clearly not hidden our ability to monetize GMV. We also want to call your attention to some recent developments in our cloud computing business. In the September 2015 quarter, revenue from cloud computing and Internet infrastructure continued to accelerate. We opened a data center in Singapore serving regional and global customers and we’ll continue to expand our customer base, geographic coverage and product offerings. We recently announced our Hangzhou plus Beijing twin-hubs strategy, and I want to share our thought on this. Beijing is the capital of China and commence invaluable influence both domestically and on the global stage. Our space [ph] in Beijing will help us better serve and connect with customers in the Northern region. Outside of Hangzhou, Beijing is our largest operational space. This was also an important quarter for our international business. Our globalization strategy is focused on cross-border commerce. Our China retail marketplace platforms are engaging as a gateway for international brand and retailers to sell their products to Chinese customers. We are making good progress. Just two weeks ago, we hosted the dramatic representatives from 39 countries at our official kick-off ceremony for this year’s November 11, and announced strategic partnerships with almost 100 agricultural and governmental organizations from 25 countries to offer their best fresh food to Chinese customers. We also recently opened offices in London and Milan to serve European brands, retailers and trade associations who seek to access the large and growing Chinese customer class looking for high-quality imported products and services. I want to give a quick update on the progress of our business collaboration with Suning. We are partnering with Suning in multiple fronts, including omnichannel and logistics, and you will see this brought to life on November 11. For example, consumers can place orders online and goods will be fulfilled from Suning retail stores. We have also integrated Suning’s logistics network and services, which will be made available to other merchants on our platform. On November 11, the Suning warehouses will be supporting fulfilment of FMCG products. In addition, Suning locations will offer after sales service for online purchase of goods. Finally, I just want to give a bit of preview for November 11. We are focused on four key areas this year, globalization, omnichannel, mobile and logistic. We are taking November 11 global because our Chinese customers as well as global brands and retailers have demanded this. Many well-known overseas retailers will participate in November 11 and then many countries are partnering with us directly to offer specialty fresh foods. In terms of omnichannel, more than 180,000 offline stores across 330 cities will intact with our mobile commerce app and offer new shopping experience and services to customers. With that, I will hand over to Maggie to discuss our financial performance this quarter.
Maggie Wu: Thank you, Daniel. Hello everyone, here are some financial highlights from the September quarter. Our GMV grew 28% year-over-year to RMB713 billion. Excluding the effect of the suspended lottery business, GMV would have increased by 30% year-over-year. Our GMV growth was primarily driven by increase in annual active buyers, which grew to 386 million by the end of September quarter. Mobile MAUs were 346 million in September. Revenue grew 32% year-over-year to RMB22.2 billion. The year-on-year performance was driven primarily by an acceleration of our China commerce retail business as well as the growth of AliCloud. Non-GAAP EBITDA margin was 50%, same as in the year-ago period. Non-GAAP net income grew 36% year-over-year to RMB9.3 billion. Diluted non-GAAP EPS, excluding SBC and amortization of intangible assets and certain other items was RMB3.63, an increase of 30% compared to RMB2.79 in the same quarter of 2014. Now, let's get into the details. In the September quarter, our blended monetization rate was 2.42% versus 2.3% in the year-ago period. Our mobile monetization rate increased to 2.39% in September quarter, up from 2.16% in June quarter and 1.73% in March quarter. The trajectory is especially impressive because the suspension of lottery business that began in late February has disproportionately impacted mobile monetization. So going forward, we expect improvements in mobile monetization will be driven by our proven ability to deliver value to both buyers and advertisers on mobile devices and increase engagement on our platform. In the long-term, we still believe our mobile monetization rate will approach or even exceed historical PC monetization rates. We are also making steady progress in PC monetization despite the slight year-on-year decline. In the long-term, we are optimistic about our blended monetization rate. Having said that, in the near-term, as you know, we don’t forecast revenue growth or take rates. Keep in mind that the improvements to monetization may not always be linear due to a variety of factors. Year-on-year, our revenue grew 32% to RMB22.2 billion. This growth was primarily due to the acceleration of our core China commerce retail business, which benefited from our focus on high quality merchants and on delivering a better value proposition to our merchants. And we optimized online marketing efficiency and increased online marketing inventory on both mobile and PC screens. Those also contributed to the revenue growth. Our mobile revenue from China retail marketplace was around RMB10.5 billion or $1.7 billion representing a year-on-year increase of 183%. This year-on-year increase in mobile revenue in both absolute dollars and as a percentage of total revenue from the China commerce retail business was due to increase in mobile GMV and better monetization of mobile usage. Revenue from our international commerce retail business was RMB481 million, a year-on-year increase of 15%. Please note that our recent efforts in the cross-border import business are not reflected in this revenue line. In the future, we will develop metrics that measure our progress in the cross-border import efforts such as Tmall Global progress. Cloud computing and Internet infrastructure revenue grew 128% year-on-year, primarily due to an increase in the number of paying customers and also to an increase in their usage of our cloud computing services, including more complex offerings, such as our content delivery network and database services. Other revenue was flat year-on-year due to a tough comparison to September quarter 2014 when we booked interest income from this SME loan business to decline. We no longer book the vast majority of interest income to other revenue. This is because of the restructure of relationship with Ant Financial, which has been communicated earlier and the restructuring was completed in February 2015. We expect this restructuring will continue to negatively impact the year-on-year growth of our other revenue line until we measure it [ph] in June quarter next year. In this quarter, our non-GAAP EBITDA margin was 50%, flat from year-ago period. Our message remains the same. We did not manage our margin target. We will continue to make strategic investments into new and existing businesses to build long-term value. We will continue to invest a portion of our free cash flow in new businesses and the growth of this new investment spending may be higher than our overall revenue growth. Now, let’s talk about our operating expenses. As in prior quarters, we use non-GAAP numbers to exclude stock-based compensation. The non-GAAP cost of revenue was RMB6.6 billion, non-GAAP product development expense was RMB2 billion, non-GAAP sales and marketing expense was RMB2.2 billion, non-GAAP general and administrative expense was RMB1.1 billion. The non-GAAP cost of revenue as a percentage of revenue increased year-over-year. This was primarily due to an increase in costs associated with our new business initiative and an increase in traffic acquisition cost. So the latter grew due to the expansion of our third-party affiliate ecosystem as part of the strategy to strengthen our ad platform business and Alimama. Non-GAAP product development expense as a percentage of revenue decreased slightly year-over-year as we start paying royalty fees to Yahoo! after our IPO in mid-September 2014. Non-GAAP sales and marketing expense as a percentage of revenue is flat year-on-year and non-GAAP G&A expenses was stable year-on-year. We generated RMB13.6 billion or US$2.1 billion of free cash flow in September quarter, an increase of 52% compared to RMB8.9 billion in the same quarter of 2014. Capital expenditure in September quarter was RMB3.2 billion, a slight decrease from RMB3.4 billion in the same quarter last year. As of September, our cash, cash equivalents and short term investments were RMB106 billion versus RMB150 billion in June quarter. So despite our strong free cash flow during this quarter, the decrease was mainly due to the RMB17 billion or US2.7 billion in cash disbursed to repurchase our shares. We purchased 40.8 million shares in the quarter, representing about 1.6% of our weighted average outstanding shares. That concludes our prepared remarks. Operator, we are ready to begin the Q&A session. Thank you.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Eddie Leung of Merrill Lynch. Please ask the question.
Eddie Leung: Good morning and good evening. I have two questions. The first one is about your retail business. We have seen Tmall outperforming Taobao in terms of growth rate in the past couple of quarters and it seems like the trend is getting more obvious. So just curious to hear you thought on this. Are we seeing any structural change in user patterns and user behavior? And what could be the long-term position of Taobao? And then secondly, we would also like to hear more about your progress in low-tier cities commerce. So wondering if you can share any metrics with us in terms of the business development outside the so-called tier 1 and tier 2 cities? Thank you.
Daniel Zhang: Eddie, this is Daniel. And for the first question, I would say, actually as we always tell you that in our China retail business, we manage our ecommerce platform as a whole and actually Taobao and Tmall are two separate brands and they have very clear market position, but they are integrated platforms, they are integrated marketplaces. So actually we always look at the growth of the two marketplaces as a whole and we have very clear operating goal, which is in five years we want to achieve US$1 trillion GMV and to-date we are happy that we are on track. And for the second question, in the rural areas, yes, we have our rural Taobao program and more than half a year ago and so far we make very good progress and as we said in our scripts, actually we added 4,000 villages in this quarter and actually today we are - I think China is very big and we are still in early stage, but we believe the most important thing is to create the value for the farmers. So today we are focused on to help them to buy from our online marketplace to improve their lifestyle. And looking ahead, actually we will help them to sell their original products produced in the farm in the rural areas to the people living in the downtown, in urban cities. So actually we believe that we will continue to expand our network in the rural areas to bring benefits for our customers. Thank you.
Jane Penner: Next question, operator.
Operator: Your next question comes from the line of Robert Lin of Morgan Stanley. Please ask your question.
Robert Lin: Hi, good morning, management and congratulation on a very strong quarter. I’ve got two questions here. I guess one is on brand commerce, obviously this year’s Double-11 very focused on omnichannel. We’ve heard from retailers that about 20% to 50% of their sales from Tmall are now fulfilled from the stores and this is the one step forward. Can you give us more near term metrics on this initiative? How would you record GMV that’s being fulfilled from the stores or experienced from the stores? And I guess there is about 3 billion marketing dollar that’s in different new sources talking about promotion this year. Can you share with us the economics, how much are we bearing in the 3 billion marketing dollar cost for this Double-11 event and I guess more broad term, long term what this means for Alibaba in terms of online, offline advertising revenue? And second question is more on the EBITDA margin. Obviously we recently talked about Youku acquisition. If we were to - there is a lot of consolidation going on in China Internet? Do we want to accelerate our potential acquisition of strategic assets, because I think the valuation has become more reasonable or do we feel that the EBITDA margin that we currently have in the suitable level we want to work with?
Maggie Wu: Hi, Rob, this is Maggie. I will answer your second question first and then Daniel will answer the first. The comfortable margin we still remind and message the same. We don’t manage this under managing the margins, this is why we don’t give margin guidance. Our core business generated high margins, we will continue to make strategic investments in the new and existing business to build long term revenue and profit growth. Our investment may be lumpy and non-linear, so when we asses investments we make we are very - have thorough rigid process that we have these post investment tools and metrics.
Daniel Zhang: Yeah, I think for the first question, I would say today when we look at the O2O opportunities, actually we should develop the solutions by categories or by industry actually in different sector, in different industry have different O2O solutions. So people will always talk about the online, offline experience. So what we can share is, first, when we look at our GMV, when we calculate our GMV, we only calculate the GMV process through our system and paid by Alipay. And so this is our GMV and the basis to calculate our GMV, but having said that actually in the O2O solution, actually part of this could be the orders generally online, but a few offline or picked by customers in stores or people can enjoy the service, they could buy some product online or enjoy the service offline, so situation varies in different industries, but we will always follow our methodology and which is, we will monitor the GMV by the amount of the transaction processing our system. And as to the 3 billion market dollar, actually we are not - I am not aware of this 3 billion market dollar story and this is definitely not in our operating measures.
Jane Penner: Next question, operator.
Operator: Thank you. Your next question comes from the line of Carlos Kirjner of Bernstein. Please ask your question.
Carlos Kirjner: Hi, thank you for letting me ask the questions. Can you help us understand the portion of GMV that is not monetized? For example, what portion of Taobao sellers do not pay Alibaba and what percentage of GMV do they correspond to? And secondly, of the $102 million in the cloud computing line, how much is cloud computing proper such as infrastructure and platform-as-a-service versus web hosting and other legacy services and how fast is the cloud computing piece actually growing? Thank you.
Joe Tsai: Hey, Carlos, this is Joe. To your first question, the way we look at this, we don’t tie specific GMV to specific marketing dollars because advertisers advertise on our platform not only to generate that direct GMV, they also look to acquire new customers to engage with their customers and so a scenario is, if somebody comes to - user comes to our site because of online marketing by a merchant and they buy something and then they again come back a week later to purchase from the same merchant, because they have bookmarked that merchant store front, that is additional GMV that is generated not directly as a result of advertising, but that merchant has acquired the user. So there is very - so the point here is that merchants are buying online marketing to do a bunch of things rather than generating that direct GMV. And we feel that our entire marketplace provides a really terrific platform for merchants to market themselves, build their brand, engage with their customers. So it’s way, way beyond just generating that specific GMV and that’s why our China retail marketplace is such a robust platform for merchants. That’s why the brands are coming to our platform.
Maggie Wu: Carlos, this is Maggie. Regarding to your second question, what’s the percentage of revenue in this Aliyun cloud infrastructure representing Aliyun cloud computing revenue, I should say that significant majority of that revenue are cloud computing revenue.
Jane Penner: Next question, operator.
Operator: Your next question comes from the line of Ming Zhao of 86Research. Please ask your question.
Ming Zhao: Thank you very much for taking my questions. First question is, can management give us an update on the category mix change right now on the platform. Are you aware of the maybe the parallel categories more maturing, some of the new categories like food and beverage is growing very sharp, but we want to see if there is any color about new categories growth can bring more growth while offsetting the more maturing categories. So some picture would be better for us to understand the change there. The second question is a follow-up on the cloud computing, so assuming the triple digit growth is coming from mainly the number of client growth, so can you give us some metrics about and how many clients are you servicing on the cloud computing side and what is the profitability picture of that cloud computing? Thank you very much.
Daniel Zhang: Thank you, Ming. This is Daniel. So the first question, if we analyze the GMV by category, I would say actually our consumer electronics, mobile phone and large appliance Tmall electric enjoy rapid growth in the past quarter. And on top of that, actually we can see a very clear trend that people buy day-to-day necessities from online platform because this is much more convenient than the offline brick and mortar chains and food and beverage and especially fresh food are very popular online today. Thank you.
Maggie Wu: Hi, Ming. Regarding your second question about costs improving, the number of paying customer is growing very well. We haven’t disclosed it on a full basis, however, we did talk about in our 20-F. So the number of enterprises [Technical Difficulty] merchants on Taobao and Tmall platform. So going forward, we may consider to add more disclosure at the due course.
Joe Tsai: [Technical Difficulty] profile, cloud computing is very nascent right now. The market is huge and we’re really not even at the first pitch of the first inning. So not really thinking about the profitability because long-term, we think that this is definitely going to be profitable, but that’s not what we’re focused on at this point.
Jane Penner: Thank you. Next question, operator.
Operator: Your next question comes from the line of Erica Poon of UBS. Please ask your question.
Erica Poon: Thank you. Two questions on industry alliances. You mentioned about the joint effort with a bunch of online retailers for the upcoming Singles Day. It seems that your goal is shifting from a disruptor to a potential savior for offline retailers, could you just share your perspectives on online retailing over the long term and do you also expect Alibaba’s penetration of China’s overall retail will pick up meaningfully with more integration with offline retailers? And my second question is on OTA, in light of yesterday’s deal amongst Ctrip Qunar and Baidu, could you just perhaps update us on your thoughts on the China OTA segment and also Alibaba’s role in it. Thank you.
Daniel Zhang: Thank you. This is Daniel. For the first question, I would say today, if you look at the landscape in China, online shopping only accounts for 10% of the total retail in China. So I would say that is a huge potential and if we look at the people geography spreading and half of our population actually in the low-tier city and in the rural areas, so that’s why we initiated our rural travel program and tried to engage these new customers who are living in the real rural village. So this is I think the dividend from the new customers and in terms of category expansion, I would say today and more and more daily necessities and household products are sold online and for some of the categories today still far, if you look at the penetration rate, it’s still far below 10%, far below the average. So we believe which has great potential in the future. And for the second question about OTA, yes, we observed the deal announced by Baidu and Ctrip and we believe the travel market is a very huge market and with over 500 billion market size and Chinese people, when their lifestyle is getting better, they will enjoy more and more travel products and services and actually in Alibaba, we have our own travel business, which is Chia and to date, actually Chia has already made a very big progress and we are very happy with this result and business development and we will continue to invest in this travel business and because this is the need for the people - for Chinese people, when their lifestyle is getting better. Thank you.
Jane Penner: Next question, operator.
Operator: Your next question comes from the line of Ross Sandler of Deutsche Bank. Please ask your question.
Ross Sandler: Great. Thank you. I just had one question on the macro and then one on the desktop take rate, so just on the macro, what does the environment look like, heading into the December quarter in terms of GMV growth compared to the 28% reported in the September quarter, I know you don’t guide, but just any thoughts on what kind of GMV growth you’re expecting for Singles day would be helpful? And then on the desktop take rate, so this has been declining for several quarters and it looks like you guys are starting to experiment with new add insertions, so can we just get an update or talk about the trajectory of desktop take rate in the December quarter and potentially beyond? Thank you.
Joe Tsai: Hey, Ross. This is Joe. Just to comment on the macro question, so I mean, the way we look at it is this way, if the Chinese economy is growing gangbusters, are we going to benefit from this? Absolutely, we will. So I think it’s something that is obviously influenced in both directions. Having said that, we just don’t think that the current macroeconomic situation will fundamentally affect consumption patterns. You have a Chinese economy that is only 37% penetrated in terms of consumption relative to more developed countries, you’re looking at - over 60% of their economy is consumption. So there is definitely a secular tailwind driving consumption growth. When you look at the individual Chinese consumer, they’re very liquid, they have a lot of liquid cash deposits in their bank accounts. Over the last several years, wage growth has been growing over 10% year-on-year and there is a high savings rate. So people have lots of savings, lots of liquidity and we expect that this is not, so a temporary setback in the macro economy is not going to affect their consumption pattern and in a fundamental way. And as we know, we don’t forecast GMV growth, it’s very hard to say what the next quarter is going to look like and we don’t give out any forecast on that.
Maggie Wu: Okay. Ross, your second question about PC monetization, you have noticed that we have been making a steady progress in PC monetization, I’d like to share with you that the way to look at the monetization level, we think the blended take rate is a more meaningful measure and then the second measure is the mobile take rate, the reason is that we view our marketplace as an integrated piece and we suggest, when you look at the merchants who are paying us, this is merchants, they’re just behind two screens, the PC and mobile. So the take rates reflect overall value we provide in and recommend by this group of merchants. And going forward, the way we look at take rate between mobile and PC, mobile obviously is more important than PC, because in the current quarter, mobile already contributed over 60% of GMV and over 60% of China retail marketplace’s revenue and we still remain, the message is unchanged that in the long run, mobile take rate will be approaching or even exceed the historical monetization rate. Just in near term, the growth may not be linear. But we’re very optimistic that they will grow in long run.
Daniel Zhang: This is Daniel. I will have a few words on Singles Day this year. As I said in my script, actually, there is only two weeks ahead for this year’s Singles Day and we are well prepared for this, actually all the participants, all the merchants, service providers in this ecosystem are now preparing for the Singles Day and in terms of the strategy for this year’s Singles Day, basically we will focus on - first, we will focus on mobile. We believe the mobile transition has deeply changed people’s consumption pattern and today, I will say in Singles Day, I can expect that a lot of people will enjoy shopping in the midnight when our Singles Day gets started. And for the entire day, we believe that lot of people actually will buy from mobile. And second, for this year’s Singles Day, we will focus on globalization. So that’s why we kick off our Singles Day ceremony by inviting so many foreign representatives to join us. This is a starting point for the globalization and we will - actually today, we have a lot of the products supplied by overseas merchants, they’re available on our platform for our consumers and we will promote more products on the day. And the third one, actually, we focus on omnichannel, and we have worked with, as I said, we work with so many offline brick and mortar chains in 330 cities to give people the integrated experience in the relevant industry. And so we believe that this is a change of the - this is a change of the people’s experience when they consume offline. So as we always do and we don’t want to give a guidance in terms of GMV of the Singles Day actually, but we believe this will be the biggest day and for our consumers and for our merchants.
Jane Penner: Next question, operator.
Operator: Your next question comes from the line of Douglas Anmuth of JPMorgan. Please ask your question.
Douglas Anmuth: Thanks for taking the question. I know you don’t guide to margins and profitability specifically, but your margins were flat year-over-year in 2Q, I was hoping you could comment, give us some color just around the puts and takes as you think about fiscal year ‘17 particularly as you’re now past the at least the annual impact here of UCWeb and AutoNavi, where the areas of leverage and then perhaps the offsets might be in fiscal ‘17? Thanks.
Maggie Wu: Right. So for [Technical Difficulty] still early to comment and margins, I think what we have shared is that our core business margin is very healthy at high-50s and for the flat, if you compare the margin for this quarter and the quarter in last year, actually they’re pluses, they’re minus. The plus is the operating leverage we’ve generated and then the minus represents the investments we made in areas like digital entertainment, our OTG set top box business as well as our investment in our mobile OS business and what I can share is that we’re going to continue to make strategic investments. So this margin question will be asked many, many times, we also look at the history of this business, it’s when we make strategic investments, some of the big investments, always concerns on how much margin it’s going to take, but if margins - in year 2003, we did make an investment in Taobao, this is a big investment and if we didn’t make an investment in [indiscernible] 2009, there were lot of questions in those years and it’s hard to imagine how we could get where we are today. So that’s the thinking we have. UC and AutoNavi, the business progressed very well. Although it’s still relatively small, so we will disclose more on the progress of the business in due course, and we did comment on the margin impact from the possible - the comments about overall margin structure would not be fundamentally changed.
Jane Penner: Next question, operator.
Operator: Your next question comes from the line of Piyush Mubayi of Goldman Sachs. Please ask your question.
Piyush Mubayi: Thank you for taking my question. I look to the delta in the growth for Tmall and it accounts for about 73% of the sequential growth in GMV terms, which is all time high and I wondered if you could share some color on what led to this huge growth in Tmall vis-à-vis Taobao and whether we can expect this driver of the business to continue to remain Tmall to the same magnitude, that’s my first question. The second question is about O2O space, and I wanted to know if you could share with us your global strategy, mostly because it submerges an area of high level of cash spent and we wanted to know whether you’d go down that path or you’d leverage your very deep customer presence and SME relationships? Thank you.
Maggie Wu: Hi, Piyush. This is Maggie. Regarding this GMV growth in Tmall or Taobao, first of all, like Daniel just said, we do view this to our platform as one integrating marketplace. So the overall means more to us. And secondly, we have communicated about our long-term goal, and our near-term goal on the GMV. So we’re talking about $1 trillion GMV goal by the end of 2020 fiscal year. So you could work backwards to get the taker for the overall GMV growth. So it’s either Taobao or Tmall, obviously Tmall contains higher brands and better service providing merchants and the growth are higher, but overall we’re focusing on this longer term $1 trillion goal.
Joe Tsai: Hi Piyush, I’ll address the O2O question. The O2O market is huge; it’s about $1 trillion market in China. And so, first you know, we think that this is a space that can accommodate several very significant players. It’s not a winner take all kind of market. So, you know in terms of the investment that you’re asking, what kind of cash plan, or what kind of investment, we see a very aggressive and competitive market right now. But the place people are spending money on is user acquisition, rebase to customers that come to use their services. But that’s where Alibaba with our unrivaled mobile leadership has an advantage. If you look at the Taobao App, Mobile Taobao App, and also the Alipay app, these are two of the largest apps in China that with users coming in to engage in commerce transactions every day. And those two apps are providing a great entry point for our Kobe service. So the places where we are going to spend money in terms of investment might not be what you think, we think that there are other areas such as merchant acquisition, and things like that where you need to be very innovative and having building out a huge sales force on that front is not the way to go. So we hope to run the Kobe business and as an innovative business. Thanks.
Jane Penner: Next question operator.
Operator: Your next question comes from the line of Robert Peck of SunTrust. Please ask you question.
Robert Peck: Yeah, two quick questions. One, I was wondering, if you could talk a little bit more about where desktop monetization could go. It looks like last quarter, it declined 50 bps year-over-year while this quarter only declined 7 bps. Joe, is this something where we could see this going positive next quarter. And then second question is, the Yahoo! spin of Aabaco. Could you just talk about that asset in relation to Alibaba? Is that something that’s of interest in buying shares in that, is that something you could acquire, just curious on your views on Aabaco. Thank you.
Joe Tsai: I’m going to ask Maggie to address the first question and I’ll take the second one.
Maggie Wu: Hey Bob, regarding desktop take rate, like I said earlier that, okay, we have been making efforts to continuously optimizing the online marketing efficiency as well as increased ad inventories. So those all country [ph] makes the PC take rates grow at a steady pace. So we’re making progress there. But overall, the take rate, the way we look at it is, first of all, is one, marketplace and blended take rate is more important. Secondly, mobile already accounts for 62% of GMV and we still see that trend going up. So eventually, this is going to be a mobile business. And then, for the mobile take rate, we said that it’s very, very optimistic for longer term growth.
Joe Tsai: On Aabaco, we’re reading the news just like you are, don’t have any information on that in addition to what was already known by the market. What we know recently from reading news is that they are going to delay the spin until sometime in January. But, we don’t really speculate on what happens after that. Just wanted to just make an overall comment, just like our share repurchase program, we will buy shares or buyback our shares if it is very significantly accretive to our shareholders and that’s the principal we operate on.
Jane Penner: Next question operator.
Operator: The next question comes from the line of Dick Wei of Credit Suisse. Please ask your question.
Dick Wei: Hi, thank you for taking questions and congrats on the strong quarter. Two questions, first question is on the - also take rate for the company. I think, this is the first quarter that mobile take rates are processed at PC take rate. I wonder what kind of the ROI that we observe from this kind of the - are currently between PC and mobile, and probably more importantly with some of the changes in the PC kind of the ad format, what kind of ROI that some of our merchant sees on the PC front. And my second is that, I think the Company has been making quite a few of the last M&As this year having more than $10 billion kind of investment this year. I wonder, how should we think about going forward if there is any like - some of the important opportunities like kind of reference size investment that we may be thinking about here. Thank you.
Jane Penner: Hey Dick, it’s Jane. Could you just repeat your first question for us?
Dick Wei: First question is basically on how do we see the ROI differences on PC and on mobile, given the PC take rate now is below that of mobile take rate. And also what is the kind of the return investment impact difference on the new formats that we have on PC side.
Maggie Wu: Hi Dick, this is Maggie. I think again, when we look at take rates with our PC, mobile, we think it’s more meaningful to look at blended, because we are facing to include the merchants. So they either spend on PC or mobile, [indiscernible]. And ROI of the merchants means more to us before it’s considered ROI. So the offsite measure for us to look at to ensure the value provided is, these merchants continue to stay in our programs, they have their single store growth and they continue to spend on our platform. So we’re very happy to see that that is the trend.
Joe Tsai: Hey Dick, so on your second quarter, obviously I’m not going to telegraph the forward looking M&A activity. But the one thing that I just want to say is, we do M&A and acquisition investments consistent with our core business strategy. And on the business strategy, we have seen that consumption growth is something that we want to leverage our business to and consumption is not just about online shopping but also consumption of digital goods, it’s about consumption of services. So we are looking at things that will enhance our position in the consumption economy and the growth in consumption economy.
Jane Penner: We are ready for the next question operator.
Operator: Your next question comes from line of Chi Tsang of HSBC. Please ask your question.
Chi Tsang: Hi thanks very much for taking my question. I just had one question. I’m wondering as it relates to Singles Day in particular, your strategy regarding globalization and also multi-channel, I’m wondering if that is positive or negative to your margins? Thank you.
Daniel Zhang: This is the seventh year since we started our Singles Day big campaign. Actually, we never connect the Singles Day with margins and what we want to do is that to create the day for the consumers to give them - to make the day for the festival of the shoppers. So that’s our purpose. So it’s - in our operating methodology, we don’t connect this with margin and we don’t manage our business by margin as we always said. Thank you.
Jane Penner: Operator, we are ready for our final question.
Operator: Sure. The final question comes from line of Mark Mahaney of RBC. Please ask your question.
Mark Mahaney: Thank you, could you talk about some of the cohort trends of the active buyers that you brought on in the last year. How do they compare with active buyers you’ve had in the past, are they ramping up relatively similarly in terms of spend or the categories that they shop in or do they, are they somehow different than cohorts that you brought in the past. And then when you talk about globalizing November 11th, could you talk about how much maybe in marketing or in merchant outreach you plan to spend maybe this year or you have been spending this year, in preparation for that, and help us think about how much of an effort you’re making to truly globalize November 11th. Thank you.
Maggie Wu: Sure, Mark. According to the cohort analysis we have done, it is still I think it still shows the same pattern, which is for the same group of consumers longer to stay with us, more they can spend annual basis and you’re asking about compare the first year consumer that has joined us this year and in previous years. So, average spending level actually is not, is not any lower. So we observe this new buyers come more to our mobile platform which could have smaller ticket size but the frequency of the purchase, the engagement is higher.
Joe Tsai: For the second question about November 11 and the spending for this big event, I would say, yes, actually we position globalization is our core strategy for the coming decades and we prioritize globalization in November 11 this year but actually as always you know that actually we are the entry point of the online shoppers and the people have high recognition of November 11. And so we enjoy the massive organic traffic in November 11 and actually we - this won’t cause us a lot to get the traffic and to get the people’s recognition. So on top of that we do spend some nothing dollar and to get to acquire new customers and to get them recognized new offerings on our platform like the offerings from other countries, supply from other countries. But on top of that, actually when we look at November 11, this is not only the day for the consumer but also the day for the merchants. So all the merchants they were very active in participating in this November 11 and they will spend their marketing dollar on our marketplace to get more traffic and get people a recognition of their services and products. Thank you.
Jane Penner: I think we’re finished with the Q&A and we can close the call. Thank you everyone for joining us today.
Operator: Ladies and gentlemen, this does conclude our conference for today. Thank you for participating, you may all disconnect.